Operator: Good day and welcome to the CPI Card Group First Quarter 2019 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Jennifer Almquist of Investor Relations. Please go ahead.
Jennifer Almquist: Thanks, Andrea, and good morning, everyone. Welcome to the CPI Card Group First Quarter 2019 Earnings Conference Call. On the call today from CPI Card Group is Scott Scheirman, President and Chief Executive officer; and John Lowe, Chief Financial Officer. Before we begin, I'd like to remind everyone that this call may contain forward-looking statements as they are defined under the Private Securities Litigation Reform Act of 1995. These statements are subject to certain risks and uncertainties that could cause actual results to differ materially from those expressed in the forward-looking statements. For a discussion of such risks and uncertainties, please see CPI Card Group's most recent filings with the SEC and on SEDAR. All forward-looking statements made today reflect our current expectations only, and we undertake no obligation to update any statement to reflect the events that occur after this call. Also during the course of today's call, the company will be discussing one or more non-GAAP financial measures including, but not limited to, EBITDA, adjusted EBITDA and free cash flow, all reported on a continuing operations basis. Reconciliations of these non-GAAP financial measures to the most directly comparable GAAP measures are included in the press release and slide presentation we issued this morning. Please be advised that the financial results discussed on the call today reflect continuing operations and therefore exclude the results of CPI's UK Limited segment, which was divested in August of 2018, and has been accounted for as discontinued operations in accordance with US GAAP. The disposition of the CPI Canada business closed on April 1, 2019, and does not re-qualify as a discontinued operation in accordance with US GAAP. Results for the Canada business as well as disposition related costs are reflected in the other segment. Copies of today's press release as well as a presentation that accompanies this conference call are accessible on CPI's Investor Relations website, investor.cpicardgroup.com. Please note that this call will conclude after our prepared remarks. And now, I'd like to turn the call over to Scott Scheirman, President and Chief Executive Officer of CPI.
Scott Scheirman: Thanks, Jen, and good morning, everyone. Thank you for joining us today. I will begin my prepared remarks on slide 4. First quarter results reflected a strong start to 2019, as we continue to perform well against our strategic priorities. Through solid execution, we increased first quarter net sales by 22%, improved our net loss by 45% and grew adjusted EBITDA 101% when compared with the first quarter last year. Our US Debit and Credit segment increased net sales across every one of its business units, resulting in a 32% increase in segment net sales year-over-year, in addition to significant year-over-year operating margin improvements. Our Prepaid segment delivered increased sales from existing customer base driving net sales growth of 8% and improving its operating margin compared to the prior year. Turning to slide 5. We remain committed to our vision of being a partner of choice by providing market leading quality products and customer service with a market competitive business model. Our solid execution this quarter reflects our continued focus on our four strategic priorities. First, deep customer focus. Second, market leading quality products and customer service. Third, market competitive business model. And fourth, continuous innovation. On slide 6, I want to take a moment to update you on our progress relative to these priorities through the first quarter. Beginning with our first priority, deep customer focus, we remain committed to keeping our customers at the center of everything we do delivering value and helping them to achieve their goals. As an example, our prepaid business recently supported its customers by quickly increasing production to meet the changing demands in the industry. By being responsive and listening to our customers' needs, we are able to support these customers and deliver value. Our second strategic priority providing market-leading quality products and 5-star customer service is fundamental to helping our customers achieve top-of-wallet status as well as enhancing our ability to deepen customer relationships and attract new business. One great example is how we continue to partner with our customers who began their transition to dual interface. We believe we are well positioned to deliver on dual interface as the market changes. In addition, our ongoing Card@Once customer wins also demonstrate our ability to address this strategic priority. As a reminder, Card@Once is a flexible software-as-a-service solution that helps our customers grow their business and deliver greater end user customer satisfaction. We recently helped an existing Card@Once customer quickly deploy this value-added, instant-issuance solution into newly acquired branch locations.  In so doing, this customer could more easily issue branded cards from the locations it had just acquired, elevating the customers experience and providing a quick marketing integration point, post acquisition. In the process, they also upgraded all of their existing branches to our latest Card@Once solution. Turning to our third strategic priority, market competitive business model. We continue to foster a culture of continuous improvement every day and remain committed to driving greater efficiency and productivity throughout our core business. On April 1, we closed the disposition of our Canadian business, completing our geographic rationalization and further streamlining our business. In addition, during the first quarter, we continued to invest in productivity and efficiency capabilities through disciplined capital investments and a commitment to everyday process improvement. These changes, combined with our year-over-year net sales growth, enable us to improve our operating margin. Our fourth and very important strategic priority is continuous innovation. We continue to partner strategic with our customers to help them achieve top-of-wallet status through differentiated products and solutions. Last week, we announced adaptive and embedded contact-less technology that powers payment objects. Adaptives address the evolving needs of our customers by allowing end users to pay with a multitude of form factors including key fobs and wearables due to its intentionally small size. We have more exciting new products in the works, and I look forward to sharing them with you in future quarters. Turning to slide 7 and wrapping up. Our strong start to 2019 underscores our confidence in our strategies, and our ability to deliver on our goal of being our customers' partner of choice by providing market leading quality of products and customer service with a market competitive business model. We look forward to updating you as we execute our plan throughout the year. I will now turn the call over to John Lowe to review our first quarter financial and operating results. John?
John Lowe: Thanks, Scott, and good morning, everyone. On slide 9, you will see an overview of our results for the first quarter of 2019. As a reminder, the comparative results for 2018 are on a continuing operations basis and exclude the UK business that was divested and reported as a discontinued operation during 2018 as required by US GAAP. First quarter net sales increased 22% compared with the first quarter of 2018, driven by a 32% increase in net sales from our US Debit and Credit segment and 8% net sales growth from our US Prepaid debit segment.  First quarter gross profit was nearly $22 million, up 49% over last year. Gross margins increased to 32% in the first quarter of 2019 compared with 26% in the first quarter of 2018. These increases were largely the result of net sales growth and a more favorable mix towards higher margin products and services in the 2019 first quarter. During the first quarter, we reported income from operations of $3.6 million and operating margins of 5.3%. This compares with an operating loss of $2.4 million in the year ago quarter. This year-over-year improvement was due to higher sales combined with ongoing cost efficiency initiatives, which provided greater operating leverage. Net loss for the quarter was $3.1 million or $0.28 per diluted share, which compares with a net loss of $5.7 million or $0.51 per diluted share in the first quarter of 2018. First quarter adjusted EBITDA was $8 million, up 101% from the $4 million we reported in the first quarter of 2018. Our improved adjusted EBITDA performance was driven by our focus on growing our top line, a more favorable sales mix and our ongoing cost efficiency initiatives, as I discussed previously. Turning to slide 10. As a matter of housekeeping, beginning this quarter and going forward, we will no longer be providing EMV specific card information. While we experienced strong double-digit volume growth for EMV in the first quarter when compared to the prior year quarter, our business and the industry are driven by a broader array of products which includes, but is not limited to, EMV. As we continue to diversify, our discussion will more closely align with our reporting segments and our underlying business units. U.S. Debit and Credit segment net sales were up 32% year-over-year to 48.9 million in the first quarter of 2019. Net sales growth was driven by increased volumes in the financial payment card manufacturing and personalization services. We believe the EMV renewal cycle and the gradual conversion of dual interface contributed to our volume increase. Card@Once growth also contributed to the strong first quarter. US Debit and Credit segment operating income was $7.8 million in the first quarter of 2019, up 208% from the prior year first quarter. For our US Prepaid Debit segment, net sales were up 8% year-over-year to $16.7 million in the first quarter of 2019. This was driven in part by the timing of larger-than-expected customer sales as we supported existing customers through quickly changing demands in the industry.  We are encouraged by the strong start to the year. But I remind you that in addition to 2018 being a record year for the segment, which provides headwinds to our year-over-year comparisons, net sales in this segment tend to be lumpy. US Prepaid Debit segment operating income was $5.3 million in the first quarter of 2019, up 23% from the prior year first quarter. Turning to slide 11. Our cash balance, as of March 31, 2019, was $7.9 million and we had $20 million available for borrowing on a revolving credit facility, bringing total available liquidity to 27.9 million at the end of the first quarter. We ended the quarter with total debt principal outstanding of $312.5 million. Our term loan does not mature until August of 2022 and a revolver in August of 2020. At the end of the first quarter, our net debt leverage ratio was 9.9 times, an improvement from 10.9 times at year end 2018. As a reminder, our business results fluctuate from quarter-to-quarter based on several factors, including customer ordering patterns, broader economic cyclicality and quarterly seasonality. In recent years, net sales and EBITDA have been lower in the first half and higher in the second half of the year resulting in the use of cash until the latter part of the year due in part to the seasonality of our business. As expected, and consistent with historical cash flow patterns, our business used cash in the first quarter -- during the first quarter of 2019, our cash from operations was a use of cash of $10.2 million. Our cash usage in Q1 was primarily the result of changes in working capital related to initiatives to support the growth of the business. Capital expenditures during the first quarter of 2019 were $2.1 million, resulting in negative free cash flow of $12.3 million. As we have said in the past, we continue to believe we have adequate cash and liquidity to support our business plan. As a quick update on the market, we continue to expect that US industry EMV card manufacturing will continue to grow in 2019, driven by dual interface conversions and contact EMV reissuances, which we have been experiencing.  For dual interface, or tap and go, we continue to expect card issuance to grow as a proportion of the market in the US in 2019. The view the US migration dual interface is one that will occur gradually over the next few years as the point of sale infrastructure evolves here in the US. Wrapping up, we had a solid start to 2019. We believe we are well positioned to address the opportunities in front of us and look forward to updating you on our progress throughout the year.  I will now turn the call back to Scott for some closing remarks. Scott?
Scott Scheirman: Thanks, John. We delivered solid first quarter results and have performed well relative to our plan during the first quarter which underscores our confidence in our strategy and our ability to deliver results. I look forward to updating you on our progress. Operator, you may now end the call.
Q - :
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.